Operator: Good day, everyone, and welcome to the Northeast Bank Financial Year 2021 Fourth Quarter Earnings Results Conference Call. This call is being recorded. With us today from the Bank is Rick Wayne, President and Chief Executive Officer; JP Lapointe, Chief Financial Officer; and Pat Dignan, Executive Vice President and Chief Credit Officer. Last night, an investor presentation was uploaded to the Bank’s website, which we will reference in this morning’s call. The presentation can be accessed at the Investor Relations section of northeastbank.com under Events and Presentations. You may find it helpful to download this investor presentation and follow along during the call. Also, this call will be available for a rebroadcast on the website for future use. The question-and-answer session for this call will be conducted electronically following the presentation. Please note that this presentation contains forward-looking statements about Northeast Bank. Forward-looking statements are based upon the current expectations of Northeast Bank’s management and are subject to risks and uncertainties. Actual results may differ materially from those discussed in the forward-looking statements. Northeast Bank does not undertake any obligation to update any forward-looking statements. At this time, I would like to turn the call over to Rick Wayne. Please go ahead, sir.
Rick Wayne: Good morning, and thank you all for joining us today. With me are JP Lapointe, our Chief Financial Officer; and Pat Dignan, our Chief Credit Officer and Executive Vice President. After my comments and JP’s, JP, Pat, and I would be happy to answer any of your questions. If we turn now to the Slide – Page 3, entitled financial highlights, I want to discuss in a little detail, some of the items in here. First, let me lead with the headline. For the quarter, we had $21.4 million of net income and for the year $71.5 million. For the quarter EPS was $2.54 and for the year $8.55. For the quarter, we had return on equity of 37.97%, a shade under 38% and for the year, 37.44% and return on assets for the quarter of 4.55% and just about the same at 4.53% for the year, obviously incredibly strong numbers that we’re very proud of. How did we get there? For the – let me talk first about the quarter, and then I’ll talk about the year. For the quarter, with the total loan volume, this is bankwide of $710 million, but a little rounding for this conversation, that includes PPP. For the quarter, we originated $114 million of loans in our national lending business, which fueled net growth of $50 million or an increase of 10.5% over the linked quarter. On the purchase side, we purchased – we invested $34 million at a price of 95% and with paydowns that was more or less flat. For the quarter, our average deposits were 41 basis points, down from 74 basis – or excuse me, not down from – as compared to 74 basis points for the entire year. I want to spend a little time talking about NIM because with the advent of PPP, it gets a little confusing the calculation. So if you look at the highlight page, now I’m talking about for the quarter, a NIM under GAAP was 3.99%, a shade under 4%. But this was highly influenced by holding PPP loans on our balance sheet for some time. So we provide a second number for NIM of 4.55%. And I would point out this is not GAAP, but it’s informationally helpful, we believe. In this calculation, we removed the amount of interest income from PPP, while we held them on our balance sheet because we only get 1%. And then, of course, we removed the 30 – the cost of funding those, which were generally 35 basis points from under the fed window and of course, the average PPP loan balances. So when you look at that, we get 4.55%. But there’s one other component, again, non-GAAP informationally helpful that impacts that. We have a lot of cash that runs through our bank because all of the loans that are forgiven, that Loan Source has – the payments are lockbox and they get, so we have – and they go to our bank and therefore, our checking account or our deposit account balances are quite high. So if you remove those and also the 10 basis points that we earn while we have that cash, the NIM would be 5.56%. Again, not GAAP, but this is much more representative of what our NIM would typically be without PPP. Not that we wish that. We earned a lot of money on PPP, obviously. And I won’t go in as in much detail on the year other than to say, with PPP and with our national lending business, and some other lending, we did a total of $3.32 billion. And in our national lending business, for the year, between purchases and originations, we did a total of $478 million, which is net growth in our national lending business year-over-year of 11.5%. Finally, I want to make the point, this is not listed as a data point, it’s in our earnings release. But during the quarter, we repurchased 194,000 shares of stock at an average price of $29.56. If we turn to Page 4, this provides a lot of detail on our correspondent fee income. The first I’d like to do is bring your attention to the bottom table, the first column, the fifth row. You can see that in the fourth quarter, Loan Source purchased $4.371 billion of loans, which is obviously a big number, and kudos to them. Most of this was purchased at the end of the fourth quarter. And this is – from the loans that they purchased, we get half of a share of the income from that. And so you can see cumulatively, they purchased $11.2 billion through the program, which ends on the 31st of July. I want to point out that the – I’m sorry, the slide is moving around a little bit here. I guess it’s the right number – that at the end of the – as of June 30, they had about $8.3 billion or $8.4 billion that they were still servicing and that compares with an average of about $6.9 billion for the quarter. So that’s a good sign of more servicing income in the future while the PPP loans are outstanding. Finally, on this page, I would draw your attention to the – I’m now looking at the top table, from loans that they purchased before we amortized and brought income of $1.80 million from part of the corresponding fee that we deferred, $972,000 from the amortization of purchased accrued interest and finally, $4.6 million, which was our share of the servicing income on the PPP portfolio that Loan Source had during the quarter. If we go to the next page on Page 5 this is a summary of our loan portfolio at June 30. I just want to talk about a few items here. You can see that our total loan balance at the end of the quarter was $1.41 billion that was 2,161 loans and most impressively with a weighted average loan to value of 49%. You see, I’m going to skip through a few slides and move to Slide number 8. This is a slide that provides some detail on our national lending portfolio. You can see at the high chart on the right, we are a national lender. We’re in 44 states with the largest concentration in New York at 36%, at California at 18%. The next one is Florida. And you can see that we have spread out over the other 41 states. One of the things, as you’ve heard me say many times, we like to manage the risk by being really careful on the collateral. I mentioned earlier, the weighted average LTV was 49%. But another thing that we focus on is investment size per loan. You can see that only 10% of our portfolio, our loans greater than $9 million, which provides a lot of protection. And you can see below on the pie has the collateral types that we have a fair number of them, kind of the hallmark is we’re generally looking at loans that are secured by cash-flow and collateral not making construction loans or land loans or the condo development, et cetera. Let me see where we will go to next. On Slide 9, has some metrics on asset quality, and we really had a terrific quarter from an asset quality perspective, thanks to our freight asset management team. This is – our delinquencies were down to $11.3 million at June 30 compared to $16.7 million on March 31. This is in the earnings release, found on Slide 9 that I’m going to talk about in a minute, but it’s a good reference point. And nonperforming assets were $20 million – $20.4 million at June 30, down from $25 million at March 31. The tables on this slide, the one in the upper left, shows the NPAs to total assets and NPL to total assets. And you can see in the last bar, the NPAs are down to 94 basis points over total assets, and NPLs are down to 1.8% over total loans. The other charts make the same point. And you can see the classified loans, these are our loans that we rate eight or higher, are down from $15 million to $10.8 million, very, very, very solid improvement. Slides 10 and 11 provide the detail on our deferral program as of June 30, were down to $1.9 million. And you can see in the last three columns, the aggregate total of those are $900,000, delinquent out of the total $125 million originally deferred that we still have our balance sheet. Some of those are originally deferred that have been paid off. And on Slide 11, I should have mentioned, Slide 9, are those where we gave a forbearance of principal and interest. And on Slide 11, where they were only interest only, it’s down to $5 million and only $100,000 of that is delinquent. On Page 12, there’s a slide that shows the turnover in our nonperforming assets. And I’ll just bring your attention to the third column that says at March 31, we had $25.8 million, I mentioned that earlier, that were nonperforming. During the quarter, we added $1.5 million, rounded a little bit, but we had $6.9 million that were resolved, bringing the number down to $20.4 million. Great progress. I’ll make one comment on the allowance, and I think JP may be talking about it a little bit more. We did have a negative provision this quarter. The biggest component of that, you may recall, at the end of June 30, 2020, in the middle of COVID, around the SBA – we were at a high level of – that’s overstating it. We had some concern about our SBA portfolio that may require a bigger allowance. When we took out it again this year, when we looked at the performance, we determined that we didn’t need all that and we released a portion of that. There are a bunch of slides that we provide every quarter on collateral types and weighted average LTVs. The – on the purchase portfolio when they were originated and what is the outstanding balance relative to that and how much we have in interest reserves. But I don’t think I need to go over all of that with you. It’s there for your ability to take a look at when you want, if you’re interested, but there’s a lot of detail there. And with that, I will turn it over to JP who I believe will start on Slide number 20.
JP Lapointe: Thank you, Rick, and good morning, everyone. As Rick indicated, I’ll pick up on Slide 20, which shows the quarterly interest cost of our deposit portfolio, which has decreased significantly over the past five quarters from 1.51% in the comparable prior-year quarter to 41 basis points in the current quarter and stood at 30 basis points at the end of the quarter. We achieved a significant interest expense savings through the combination of our efforts to shift the makeup of our deposit portfolio from time deposits to transaction accounts along with the low interest rate environment. Turning to Slide 21. This slide shows the change in the composition of our deposit portfolio year-over-year. The holdback accounts include the Loan Sources collection account, which was $860 million at June 30, 2021. Excluding holdback accounts, our community banking deposits, as a percent of deposits, have increased from 49% of our total deposit portfolio a year ago to 69% at the end of the current quarter, while ableBanking and bulletin board CDs have declined to 31% combined. As the bottom table shows, the majority of the change in our product composition was in checking accounts, which includes demand deposits, which increased from 18% of our deposit portfolio from the comparable prior year quarter to 37% in the current quarter. As you will see in more detail on the next slide, a significant portion of the deposit balance is attributable to the PPP collection account, the balance of which we expect to remain elevated over the next several quarters as elevated PPP collection activity continues. Additionally, we had interest rate savings in all types with the most significant savings we’re seeing in the money market and CD portfolios, in which the weighted average rates decreased by 62 basis points and 84 basis points, respectively, over the one-year period. Turning to Slide 22. This slide shows the change in our deposit portfolio and annualized interest expense monthly over the past year, while also displaying the recent significant impact of the PPP collection account, which impacts our short-term investment and deposit balances and is subject to significant fluctuation. This slide also excludes the impact of $400 million of short-term brokerage CDs that were taken out in January 2021 to help fund PPP loan activity and mature prior to the end of the linked quarter. The rate on the brokered CDs was 15 basis points, and this funding source is not expected to be recurring, which is why it has been excluded from this slide. Over the past year, we have generated approximately $7.1 million in annual interest expense savings in our deposit portfolio, decreasing from $12.6 million in July 2020 to just $5.5 million in June 2021. Moving ahead to Slide 24. This slide provides detail on our potential additional future interest expense savings on our CD portfolio, of which 80% or $223 million is scheduled to mature in the next 12 months. Based on the current weighted average interest rate of 1.36%, this cost amounts to $3 million in annual interest expense savings. Slide 25 shows our quarterly revenues over the past five quarters, which have decreased by $20.3 million from the linked quarter, an increase by $10.6 million from the comparable quarter. Revenues, excluding PPP gains have increased $100,000 from the linked quarter and $7.7 million from the comparable prior-year quarter. Additionally, our noninterest expense has decreased $209,000 from the linked quarter and $741,000 from the comparable prior-year quarter, which demonstrates our continued ability to increase revenues, while maintaining flat or slightly lower expenses. The primary driver for the decrease in noninterest expense from the comparable prior year quarter was a decrease in salaries expense of $1.7 million, primarily due to a decrease of $1.4 million in bonus expense, along with an increase of $733,000 in deferred salaries counter expense related to PPP originations attributable to the high level of PPP activity. Offsetting this decrease was $522,000 of additional expense during the current quarter associated with the PPP corresponding relationship, primarily related to marketing and advertising costs that we share with them. This concludes our prepared remarks. At this time, we would like to open up the line to Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from Alex Twerdahl from Piper Sandler. Your line is now open.
Alex Twerdahl: Hey. Good morning, guys.
Rick Wayne: Good morning, Alex.
JP Lapointe: Good morning.
Alex Twerdahl: First off, I wanted to drill in a little bit more on the national originated portfolio that showed some fairly nice growth this quarter. And last quarter, you talked, Rick, about some new strategies to try to retain a portion of that portfolio that was rolling at a pretty fast clip. Is that what’s driving the growth is not just originations but also retaining more of what was rolling off? Or is this something else we should be thinking about?
Rick Wayne: I think the growth had to do was mostly with the volume that we originated in the quarter. The runoff was roughly the same as it’s been in the past of slight improvement. That’s a process, as I indicated in the other call, trying to retain those loans. It was not something that was going to happen in one month or one quarter. It’s going to take a while to improve that. But it was really had to do with the volume. It was a lot of volume, a lot of loans will be closed. And that business is steadily growing through a lot of – we’ve done a fair amount of marketing and branding, and we have great business development folks and calls coming inbound from existing customers growing and bringing in new customers. And I will say, we are also starting in with – in August, we have a new Senior Business Development person starting in the Miami area who will be responsible for helping us grow our loan book in Florida and Southeast area and some nationally. And then we have another person, Senior Business Development Officer, starting in August as well in Southern California. And so our hope and expectation is that we’ll be able to grow our origination book even more. You recall I’m sure, from the slide we went over, we have some meaningful portfolio in California and Florida, and we hope that more. So that’s exciting for us as well as continuing growing organically as we have.
Alex Twerdahl: Is that, Rick, the first time that you’re going to have actual boots on the ground permanently in Florida and in California?
Rick Wayne: Yes. And that’s excluding our 4(a) into 7(a) hotel lending, which we’re not doing. But yes, for our national lending, it will be the first time.
Alex Twerdahl: And are there additional markets beyond those that you’re looking to kind of get boots on the ground? Obviously, it’s shown some tremendous growth, and it seems like it’s got a really nice runway ahead of it still? Are you at…
Rick Wayne: No, good market – I’m sorry, I didn’t mean to talk over you. It’s a little bit hard on the calls. Can you say that, I’m sorry, Alex. Go on.
Alex Twerdahl: No. You’re probably going to – I probably asked enough of the question already.
Rick Wayne: So I didn’t interrupt you? I thought I had interrupted you. I feel better. Yes, there are other markets we would be interested. Texas is a great market, would be for us. And we’ll see we have a lot of capital now. One of the things that will be worth pointing out, though, on the capital, one of our new directors, Bill Mayer, who I don’t know if you know, Alex, but he was Head of Banking at Goodwin Procter, which is a great – there are lawyers and they represent a lot of banks and he’s been sitting in our meetings. And he was making the point, it’s so nice for him to say a bank like ours with a lot of capital being careful. So we want to grow our balance sheet, but we want to grow it carefully, meaning you’re not losing principle. But there are other markets where – well, as I say, Texas would be one. One of the lessons that we learned, everyone learned during the pandemic is, you can operate with people that are working outside of the headquarters. We saw what happened, of course, all of the credit decisions, the asset management. When I say credit and all of that encompasses and loans asset management taking place here. But for originations, if we can get more people on the ground, we think it’s a way to grow that business, which we would like to do.
Alex Twerdahl: Yes. That’s great. And then just switching gears to the purchased market, which has been sort of, I don’t know, I guess, an average quarter this most recent quarter. And maybe it didn’t pan out exactly as we thought it might have a year ago, not necessarily a bad thing, all things considered in the world. But one thing that has certainly been a major theme of 2021 has been some giant bank mergers, at least relative to what we’ve seen in the past. Now can you maybe talk a little bit about when you think about the pipeline for loan purchases, it seems to me that among merger activity, there’s generally concentrations that need to be reduced and as these portfolios get marked, et cetera. Do you see an opportunity for additional loan purchases coming from merger activity or anything else?
Rick Wayne: Well, there’s certainly, historically, as you pointed out and know, mergers have historically created the opportunity for purchases of loans to buy because in the combined entities. They frequently want to get rid of some of the loans for various reasons. So there is that opportunity. I’m reluctant to make a suggestion or a projection. I was so wrong on what I thought was going to happen when the pandemic started. I really thought there was going to be huge opportunities to buy loans, which didn’t pan out. I’ll say this, though, we looked at a lot this quarter and this year, we were less successful in buying loans more competitive than I would have guessed. And so we still look at it. Everything that comes out that’s within our wheelhouse, as they say, meaning loans secured by cash flow and collateral in the United States in the sizes that we look to and now with more capital, we can look at larger individual purchases. We look at a lot of our teams are quite busy. And while we did $170 million this year, that’s a good number. Just to kind of put it in perspective, that’s solid. I thought maybe we would do $300 million or $400 million. We could have – if we had won some more pools that we had been on, but $170 million is a pretty good number. So I’m reluctant to say what comment other than we look at a lot that comes out, and I’d rather just report, I know this doesn’t make your job easier, but – which I apologize for. But I’m reluctant to put out a number other than to say, I could say this with comfort. Over the last five years or so, we’ve done between $150 million and $200 million a year, I’m comfortable, and subject to the forward-looking statement that was read initially saying that I think is kind of a reasonable target. Could it be a lot more than that it could be? I don’t really think it’s going to be out of that – I don’t think it will be out of the low side of that range. But you never know. We look at big pools, and maybe one of these days, we’ll buy a big one.
Alex Twerdahl: Great. Another question just on the buyback. You guys did some buybacks this quarter. Sort of makes a lot of sense, below tangible book value, above tangible book value, still makes sense depending on your capital levels. But based on the fact that you guys have been growing tangible book value so quickly and there’s still a lot of unrealized gains from the PPP program suggesting that book value should continue to grow pretty rapidly, how are you thinking about the buyback today? I mean, you got lots of capital. It seems like it still makes a lot of sense. But how are you thinking about it?
Rick Wayne: Well, we do have a lot of capital. I think there are two schools of thought on – let me back up before the two schools of thought. So the absolute best thing we can do with our capital is leverage it and grow our loan book. That math is compelling. We have room. As of June 30, we have enough capital before we make another penny in the quarter we’re in to double the size of our loan book. And so obviously, if you could add $1 billion of loans, earning a 6% spread with relatively small increases in operational expenses, that’s the most profitable thing you can do. You’re also competing also as you go through each quarter, you make more money and you’re accumulating more capital. Just to state that is one thing. So one thing you consider is what is your opportunity to grow your loan book. But let’s assume for a second that we have capital. In terms of how you think about at what level would you buy, I think there are a couple of competing – not competing, a couple of schools of thought as well, I was going to say. One is you pay up to a tangible book where you think it might be your intangible book in some measured time period, where you say, what is the intrinsic value of our company. We’re trading at $31. Why do we think it’s worth? And over time, if you bought it a higher number, you’ll probably be happy with that. So that’s kind of the thinking. I might obviously – it’s not appropriate for me to see what the number would be, but it’s kind of the way you think about it. You need the capital. Where you think you’ll need the capital is – to quote one of our other directors is that we’re really in a good position. We have a lot of capital, and I’m really – I’m not talking about myself now, I don’t want be arrogant – really smart team. And so it’s a really good opportunity in front of us, but we need to be careful about how we grow our loan book, continuing with the high-quality assets as we have done.
Alex Twerdahl: Okay. And then last question for me on the originated I was going to ask this earlier, the originated national portfolio, what are new loan yields at today?
Rick Wayne: In terms of pricing?
Alex Twerdahl: Yes. The pricing, just what would be the yield on new production.
Rick Wayne: JP, do you have the number for what we – what was the yield?
JP Lapointe: On Slide 3, the originated loans for the quarter, the $114 million was at a weighted average rate of 6.36%.
Alex Twerdahl: Great. Thanks, JP.
Rick Wayne: Is that the portfolio? Or is that the new originations?
JP Lapointe: Those were the new originations that we had put on during the quarter.
Alex Twerdahl: Great. Thanks for taking my questions.
Rick Wayne: Thank you, Alex.
JP Lapointe: Thank you.
Operator: Thank you. [Operator Instructions] And our next question comes from David Minkoff from DCM Asset Management. Your line is now open.
David Minkoff: Good morning, gents. Congratulations on another great quarter on many fronts.
Rick Wayne: Thank you, David. Good morning.
David Minkoff: On the buyback, Alex touched on it. In late April, you increased the authorized buyback from 600,000 shares to 1 million shares, of which you bought slightly under 200,000. But I noticed the buyback expired on July 21, three months after you increased it. I think in the past, when you had the buybacks that lasted a year. What made you – why did you give yourself such a short window?
Rick Wayne: Let me clarify that. In July, we increased the buyback from, I want to say, 600,000 to 1 million, and it was also extended until July of 2022.
David Minkoff: Okay. I think the release read July 2021.
Rick Wayne: Then we need to correct that.
David Minkoff: Okay.
Rick Wayne: That’s July of 2022.
David Minkoff: I guess that was the first time and you kind of explained it under Alex’s question. So the first time I saw you buy shares back at a premium to book value. And that’s – I would take that as a very strong vote of confidence going forward. I don’t see another way you could take it. Were you able to – you bought – I think it was 194,000 shares at $29.50 roughly. Were you able to buy any more shares after June 30, up until now, let’s say?
Rick Wayne: We haven’t said anything about that. So I think we’ll have to wait until we – so we have another call again in October. But we don’t announce – we don’t announce activity in between quarters on the buyback.
David Minkoff: Okay. That’s fair enough. And the only other question I had was the great quarter. A lot of it had to do with the PPP, obviously. So begs the question, how many more quarters do you see the earnings being affected by this? I think the PPP is winding down, basically, right?
Rick Wayne: Well, yes, the PPP has is essentially done. It was completed for loans to be made substantially as of June 30, there could be a true that – maybe it was May 31. Was it May 31 or June 30? I’m getting confused now. But a few loans could trickling, but it’s essentially done on the – I would not expect any meaningful originations from us, let me just say that. It could be $2 million or $3 million or $4 million to $5 million that trickle in that are kind of in process. And then the window for financing those closes through the Fed on July 31. So I wouldn’t expect any really more purchases from Loan Source than we have indicated in our discussion this morning, which is $11.2 million or $11.3 billion. In terms of the impact of the income, we have about $13 million to amortize into income, I don’t know, roughly over the next year? Or how long, JP, roughly is the $13 million going to be amortized into income?
JP Lapointe: We did some of it over two years and some of it is a little longer, so probably over the next year and a half or so on an average basis.
Rick Wayne: And then we earn – let me say it differently. Loan Source has about $8.9 billion PPP loans in its portfolio that the income from that is – the spread of 65 basis points minus servicing costs, we get half of that. And we’ll bring that into income as long as it is going to go down. I would say most of that income, we assume, will report to income through June 30, 2022. A little bit more – we imagine will trickle in after that. But we could be wrong on that. It just depends on how long it takes for those loans to be forgiven. But I think that’s – what I’ve just described, I think that’s our reason – that’s our assumption, but subject to it’s not within our control how long the loans are outstanding.
David Minkoff: Okay. Understood. And finally, how many branches do we have open at the present time?
Rick Wayne: We currently have nine branches, and we have filed with the superintendent of banks in Maine that closed a very small branch that we have in Harrison, Maine, which we expect will be approved. So we will have eight branches sometime starting in the fall.
David Minkoff: Right. And I was going to ask whether you plan to open any additional branches. So I guess that could still be a valid question, I guess. You just closed a small one that wasn’t that significant. Do you have any plans to open another branch or two?
Rick Wayne: We’re actively trying to develop and increase – develop is not the right word, increase our core deposits in the main community, both through our branch network. The ones that we closed over the last year or year and a half, we closed two branches. One we had in Lewiston, Maine when we moved our corporate offices and we combined the Lewiston one with Auburn and they’re right next to each other, for those that are not familiar with Maine. And then the Harrison one was tiny. But we have branches in some markets relative to our size that are reasonable size and we’re trying to grow deposits there. We’ve reorganized that whole group. We now have hired the former Deputy Treasurer of Maine to help us get deposits in municipalities, and he’s doing really great job. We have replaced the person who is responsible for getting deposits out of our national lending customers who tend to have some of them a fair amount of deposits. We’ve hired a person to be in charge of trying to get deposits from customers, business customers in Maine that have borrowing needs but not high lending needs. Think homeowners association or lawyers, et cetera. We have a fairly active campaign now to bring in retail deposits. We’ve increased our marketing and hired a new person to be in charge of our branch network. So what you saw in the slides in JP’s discussion, how this improvement there has been over the last year in repositioning our liabilities from higher expensive CD and money market accounts enabled the bulletin board to much less expensive accounts. And we want to continue and grow on that. And now to answer your question, which was a long-window answer, whether we’ll do it through more branches in the markets that are good or more online presence, TBD, but we’re trying to grow that business.
David Minkoff: That makes sense, and I appreciate the answer. And thank very much. Keep up the good work. Great job to you and your team.
Rick Wayne: Dave, it was delightful talking to you. Thank you and I hope you’re having a good summer.
David Minkoff: Same to you. Okay. Thank you.
Operator: Thank you. We have no further questions at this time. Now I would like to turn the call over to Rick Wayne for closing comments.
Rick Wayne: Thank you. Well, I will wish everybody what I wished David was a good summer. Wherever you’re located, I hope the weather improves. It’s really miserable in Boston area. But again, thank you for your support, for your interest. This is not the only venue we can talk in. If you have questions or you want to you have ideas or ways we can provide more information in our slide deck that you think would be helpful, we’re interested in having those conversations. And so feel free to contact Pat or JP or myself, and anything that we’re legally permitted to talk to you about, we would be happy to. And with that, I wish you a good day and soon to be a good weekend. Thank you.
Operator: Thank you, ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may now disconnect.